Operator: Good day, and welcome to GameStop Corporation's second quarter 2014 earnings conference call. At the conclusion of the announcement, a question-and-answer session will be conducted electronically. [Operator instructions.] I would like to remind you that this call is covered by the Safe Harbor disclosure contained in GameStop's public documents and is the property of GameStop. It is not for rebroadcast or use by any other party without the prior written consent of GameStop. At this time, I would like to turn the call over to Tony Bartel.
Tony Bartel: Thank you, operator. Good afternoon everyone, and welcome to GameStop’s second quarter earnings call. As always, we would like to start by expressing our gratitude to our associates around the world for their performance and dedication to customers again this quarter. Whether they are in EB Games, Micromania, Spring Mobile, Game Informer, Kongregate, Simply Mac, GameStop, or Cricket, they are truly professionals at what they do, and the secret to GameStop’s success. Joining me today on the call are members of one of the most tenured management teams in all of consumer electronics retail. Rob Lloyd, chief financial officer; Mike Mauler, executive vice president of international; Mike Hogan, executive vice president of strategic business; and Matt Hodges, our vice president of public and investor relations. Paul Raines is not joining us as he is recovering from his recent medical procedure. He is in good spirits as he continues his recovery, and, as we’ve previously communicated, the prognosis is very positive for a full recovery. We all wish him well, and look forward to having him back in the office in a few weeks. We are executing against our vision of a family of specialty retail brands that makes your favorite technology affordable and simple. And today, we are going to share with color around how all of our segments, physical gaming, multichannel, digital, and technology brands are working together to drive solid and diversified profit growth and return to our shareholders. The second quarter exceeded our expectations, with earnings per share beating the high end of our guidance by $0.02. The new console cycle is gaining momentum, driving positive 21.9% comp sales and total sales growth of 25%, driven by 125% growth in new hardware and 16% growth in new software. We have now had four consecutive quarters of positive comps, and we expect that trend to continue for the foreseeable future. Our international business also had a strong quarter, which Mike Mauler will elaborate on further. Another major contributor to the earnings beat came from our technology brand segment, which contributed $70.1 million of sales and $7.1 million of operating profit, representing 19% of our operating profit for the quarter. This highlights the importance of evolving our business into mobile and consumer technology by leveraging the core strength of our vibrant PowerUp rewards community, our unique buy-sell-trade model, our real estate expertise, and our human and capital strength. We are aggressively expanding this part of our business as we added 49 stores during the quarter through acquisition and development, bringing our total store count to 319, a 46% increase since the beginning of the year. It is hard to believe that it has been less than a year since we announced our initial investment in Simply Mac, our first foray into technology brands. We have learned much, and our relationships with AT&T and Apple are strong and are leading to significant growth opportunities. We have proven our ability to operate at high service levels and provide relevant customer solutions, and this is resulting in an ever-expanding growth relationship. We have a robust pipeline of additional acquisitions and development opportunities in the tech brand space. Rob will have more comments on the positive impact that these businesses have on our financial performance. For the quarter, our digital receipts rose 18%, with console digital increasing 13% and PC digital increasing 24%. On a year to date basis, we have grown our digital receipts by 13%, which is essentially in line with the mid-teens digital growth rates of our top four publishers. We are pleased with our digital market share, which we estimate is in line with our overall market share. Our knowledgeable associates, our proprietary digital delivery system, and our unique buy-sell-trade process gives us a dominant share of digital retail sales by driving discovery and affordability. Mike Hogan will provide more commentary about how Kongregate is helping bring new developers to a crowded games market. Although no credible market share source exists for digital receipts, a couple of external sources have recently validated our importance in driving this high-growth segment. Microsoft recently announced that over 40% of their digital receipts are sold at retail, and we believe that we sell the dominant portion of that revenue. Likewise, Ubisoft recently announced that 70% of their DLC sales from their Watchdogs title came from retail locations. Again, we are dominant, especially at launch, at selling digital content. As Mike Hogan will share with you in his remarks, we expect to see continued double digit digital category growth in the foreseeable future, and maintain our market share. Looking ahead to the second half of the year in video gaming, we are excited about the unprecedented lineup of high-quality games this fall and holiday season. Even with titles like Battlefield Hardline, Evolve, and Batman Arkham Knight moving out of our year, we have 24 high-quality games launching this season, including Activision’s Destiny, Call of Duty: Advanced Warfare, and Skylanders Trap Team; Take-Two’s GTA V, NBA 2K15, and Borderlands: The Pre-Sequel; Ubisoft’s Assassin’s Creed Unity and Far Cry 4; EA’s Madden NFL 15, FIFA 15, and Dragon Age: Inquisition; and Nintendo’s Super Smash Brothers, amiibo, and Pokémon Alpha Sapphire Omega Ruby. Our hardware and software market share continues to expand and is now at an all-time high as we go into the critical holiday season. We continue to sell over one half of all PS4 and Xbox One titles. We face a challenging third quarter as we roll over the Grand Theft Auto IV launch, but expect to see significant software growth in the fourth quarter. Our pre-owned business grew 5.5% and a 47% margin. Our value initiative, which provides us with in-demand inventory from existing relationships, helped drive our growth as we brought in over $30 million of product to replace out of stock value items. Earlier this week, we rolled out a simplified trade-in pricing policy to help customers better understand the value that they get for their games and electronic devices. It should be noted that this policy will not impact our overall pre-owned margins. This move simply creates better visibility to the true value that customers receive using our trade center on the GameStop mobile app, GameStop.com, and in our stores. We continue to see little if any impact from other big box competition in the pre-owned game business. In just two weeks, we will have over 5,000 of our managers from all of our brands and all of our countries in Anaheim, California to experience a week of immersion in the great slate of new games that we will be launching over the next few quarters. There is no doubt that we will again have the most knowledgeable sales force in the entire videogame category. In addition, we’ll also be hosting thousands of gaming fans through our gaming expo and hosting our first annual developers conference. We will continue to drive a high rate of internal change to keep GameStop ahead of the curve. We will continue to provide best-in-class customer service in videogames, multichannel, digital, and technology brands and we remain committed to returning free cash flow to shareholders. I will now turn the call over to Rob. 
Robert Lloyd: Thanks, Tony. Hello, everyone. I’d like to begin by reviewing our second quarter results including highlights of 25% revenue growth and EPS growth of 144%, up to $0.22 per share. GameStop’s consolidated global sales were $1.73 billion, up over 25% from $1.38 billion in the prior year quarter. Our comps were up 21.9%, up 19.7% in the U.S., and up 26.2% internationally. For the last four quarters, our comp was 12.3%, demonstrating the power of the console cycle and compelling titles like GTA IV and Watchdogs. Our same-store sales for the quarter exceeded the high end of that range we outlined in last quarter’s call, due to strong next-gen hardware sales. We outperformed the U.S. market, leading to a hardware share gain of 360 basis points. There were a few major releases in the quarter, but the success of Watchdogs, Mario Kart 8, and The Last of Us for PlayStation 4 helped drive our new software sales up 15.6%, compared to an 8.5% increase in the U.S. market. Overall, we gained 240 basis points of new software market share in the quarter. Pre-owned and value sales grew 5.5% compared to the prior year quarter. The U.S. was up 5.3%, and international was up 11%. Our GAAP digital sales totaled $52.3 million, a 5.9% increase over the second quarter of last year, with growth coming in PC digital. Our digital receipts, or non-GAAP revenue, totaled $179.2 million, a 17.6% increase over Q2 last year, with growth in both console and PC digital. Our mobile revenues grew 85% to $112.1 million, from $60.6 million in the second quarter of last year. The technology brands business continues to grow rapidly, with revenues of $70.1 million, and operating profit of $7.1 million during the second quarter. Technology brands represented about 40% of the operating profit growth for the quarter. [Life] to date, the store contribution from the tech brands acquisitions and new stores is far ahead of our aggressive pro formas. We are well on our way to adding the 300 to 400 new tech brand stores we outlined earlier this year, and are aggressively seeking additional growth. Consolidated global net earnings were $24.6 million, up 134% from $10.5 million a year ago. Diluted earnings per share for the quarter of $0.22 exceeded our guidance range and grew 144% from $0.09 per share earned in the second quarter of last year. Gross margins for the quarter were 31.8%, which are down 300 basis points from Q2 last year, driven by the growth of console hardware as a percentage of total sales. Gross margins in new hardware decreased 100 basis points due to selling more next-gen consoles. New software margins increased slightly when compared to the second quarter of 2013. Gross margins on pre-owned and value were 47.0%, comparable to the same quarter of last year. As Tony said, we are not seeing an impact from competitors in the pre-owned business. Based on what we learned from the simplified trade price program that we use in Australia, we implemented the new trade pricing policy in the U.S. This will simplify pricing for our customers and our associates, and will not impact margins going forward. The digital gross margin rate was 65%, and the gross profit was $34 million, with slight declines compared to the prior year quarter due to the mix of underlying products. The gross margin in the mobile and consumer electronics category was 36.1%, with gross profit of $40.5 million, up from $16.3 million in the second quarter of last year. This growth was primarily driven by the Spring Mobile and Simply Mac acquisitions and store growth. Total SG&A expense dollars increased $53.8 million, due primarily to the addition of Technology Brands, which accounted for $26.1 million of the increase. SG&A decreased as a percentage of sales from 30.5% in the second quarter of 2013 to 27.5% this quarter, evidencing that we leveraged the increase in sales in the videogame brands segments. Depreciation and amortization was also about 5% less than the prior year quarter. We ended the quarter with 6,698 stores, 4,197 U.S. videogame stores, 2,182 international videogame stores, and 319 Technology Brand stores. We opened six videogame stores and closed 24 in the U.S. and opened four and closed 17 internationally. We added 26 Tech Brands stores through acquisitions and opened 23 more. At the end of the second quarter, we had short term debt of $214 million, with the increase over the prior year balance due to M&A activity and additional cash returned to shareholders in the form of buybacks and dividends. As we indicated in the earnings release, our board of directors authorized a dividend of $0.33 per share for this quarter to be paid on September 16. We repurchased 1.9 million shares in the second quarter at an average price of $39.67, for a total of $75.5 million. Year to date, we’ve repurchased 127.7 million, well on our way to the annual guidance we gave of 250 to 300 million. Life to date, we’ve now bought back over 1.5 billion of our shares, at an average price of $23.51. We have approximately $323 million remaining on our current buyback authorization. Now I’ll turn to the third quarter outlook. We are forecasting same-store sales to increase ranging from plus 1% to plus 5%, once again driven by next-gen hardware sales. The third quarter title lineup is exciting, as Tony outlined. However, new software comparisons for the third quarter will be difficult with the overlap of Grand Theft Auto IV. We sold well over 6 million units of GTAIV in the third quarter of last year. We expect diluted EPS to range from $0.58 to $0.64, representing flat to an increase of 10% when compared to $0.58 for the third quarter of last year. We’re using weighted average fully diluted shares outstanding of 114 million, following buyback through the second quarter. We are reaffirming our full year comparable store sales guidance of plus 6% to plus 12%, and our previous full year 2014 earnings per share guidance of $3.40 to $3.70, using weighted average fully diluted shares outstanding of 114.7 million, following buybacks through the second quarter. Earnings guidance does not include the effect of additional buybacks. Now, I’ll turn it over to Mike Mauler for his comments.
Mike Mauler: Thanks, Rob. Good afternoon everyone. GameStop’s international businesses had a very strong second quarter, exceeding expectations with a 26.2% same-store sales increase and a significant improvement in operating results over 2013. Triple digit hardware growth drove strong same-store sales as the installed base of the next generation of consoles continued to increase faster than the previous cycle. During Q3, we also experienced a solid increase in new software sales, driven by new titles such as Ubisoft’s Watchdogs, Sony’s The Last of Us Remastered, and Nintendo’s Mario Kart 8, which also helped drive a more than threefold increase in Wii U hardware sales versus Q2 2013. Investments in our multichannel strategy continue to pay off as our international ecommerce business entered into its fourth consecutive year of double-digit growth, increasing by more than 46% versus prior year. This growth was driven by an expanded product selection and an ever-increasing number of customers utilizing cross-channel purchasing features such as web in store and pick up in store. The international sales of digital products accelerated during the quarter, growing at 53% versus 2013, primarily driven by strong DLC attach rate on new titles and significant growth in Steam Wallet and POSA cards, such as League of Legends, Minecraft, and Blizzard. GameStop’s buy-sell-trade model continued to provide tremendous value to customers as they upgraded to the next generation of consoles. This transition drove an increase in trades, resulting in healthier pre-owned inventory. GameStop’s improved pre-owned inventory position, the expansion of our international loyalty programs, and the more efficient use of our CRM tools to engage customers drove a pre-owned sales increase of 11.2% versus 2013, led by Australia’s growth of 23%. In addition to the over 28 million PowerUp reward members in the United States, international loyalty programs topped 10 million members during the quarter across 15 countries. Improvements in our CRM capabilities to communicate with our vast membership base played a key role in the sales growth of digital, multichannel, pre-owned, and our expanding franchise marketing efforts on key titles. Video gaming and entertainment collectables continued to grow at a fast pace during the quarter as we increased our product offerings to meet the needs of our passionate customers. As we have discussed on prior calls, we continue to test new concepts and product lines in different markets around the world. Over the last six months, in Italy, we have been piloting a partnership with Wind Telecommunications in some GameStop stores, under which we are selling Wind’s phone products and prepaid and postpaid services. During this pilot, we have seen synergies with our existing customer base and an overall increase in store traffic in the test stores. We have been pleased with the results and our partnership with Wind and will be expanding Wind’s offerings to approximately 70 GameStop stores in the third quarter. As we enter the second half of 2014, we are excited by the slate of new releases and the strong growth we are seeing in next-generation consoles. GameStop’s investments and subsequent progress in expanding multichannel businesses, growing our worldwide loyalty membership, and the diversification into associated products and services positions us to fully leverage the profitability of this new console cycle and to also grow our business in exciting new areas of adjacent technology. And now, I will turn it over to Mike Hogan for his comments.
Mike Hogan: Thanks, Mike. I will cover three topics this afternoon. First, an update on the overall videogames market, including both physical and digital videogames. Second, an update on the pre-owned business and our expanding presence in the value subcategory. And third, GameStop’s multichannel business and its contribution to overall company growth. From a total videogames category perspective, we continue to see very strong growth, driven primarily by hardware. Sales of the new consoles continue to meet or exceed our initial estimates, further reinforcing our market model projections for physical category growth in 2014 and in 2015. The attach rate is still building, as publishers release more new titles. GameStop’s attach rate is now above four, which is 75% higher than the rest of the industry. In the nine months since launch, category-wide sales of next-generation hardware are 70% higher than the same period following the PS3 and Xbox 360 launch, and GameStop’s sales are plus 140%. During the same timeframe, category-wide next-gen software sales are plus 26% versus the prior generation launch and GameStop’s are plus 103%. We are clearly driving the growth of the next-generation console cycle. Our PowerUp rewards consumer research continues to show very strong purchase interest in the next-generation consoles. In our latest polls, 55% of PowerUp members surveyed indicate they are planning to purchase a next-generation console, but have not done so yet. This suggests significant ongoing demand for the new consoles and it also suggests a coming wave of trades as these consumers upgrade to a new generation of hardware and software. As Tony noted, we are seeing strong growth in console digital, and our model continues to project double digit growth for the foreseeable future. Our internal numbers show that GameStop digital is keeping pace with this growth in the overall category. In addition to console and PC digital, the category is experiencing big growth in the mobile gaming segment. As you may recall, GameStop entered this growing market in 2013 with Kongregate mobile publishing. We are seeing extremely strong results today. In the second quarter, Kongregate, our mobile and casual games platform, hosted very strong results, growing plus 123% over the prior year. We currently have 12 games active on the IOS App Store and Google Play Store, with a total of 20 games expected to be launched by year end. We have multiple games running above a $10 million annual rate, and expect Kongregate to be a top-10 third-party mobile games publisher this year. Through our efforts in the mobile publishing arena, we have learned a great deal about the needs of the development community. Kongregate is providing a value-added platform for mobile game developers, which to date has met with broad acceptance. In addition to customer acquisition, monetization, and analytics, Kongregate’s $10 million mobile development fund provides much-needed resources for developers to deliver high-quality games. We will continue to focus on serving consumers by helping developers bring great new content into an increasingly crowded mobile games market. Pre-owned sales grew plus 5.5% for the quarter. This has been an 11-point improvement versus the same quarter last year. This reflects the strength of the new console cycle and consumer demand for preowned. It also reflects the early success of our value strategy, which we first outlined back in the spring. [unintelligible]’s pre-owned is clearly benefitting from the new console launches. Roughly 30% of our next-generation hardware and software to date has been purchased with the help of trade credits. Consumers continue to see trades as a great way to get the new technology they want. Now, a word on the broader value opportunity and the results today. We are leveraging our core competencies and category knowledge, customer relationships, buy-sell-trade expertise, and refurbishment to capture a broader sales opportunity in pre-owned games, as well as an expanded set of technology products. The results to date are very encouraging. We have seen significant interest from publishers and others in driving incremental sales from a select list of high-demand older games, accessories, and technology. In the second quarter, we sourced over $30 million worth of value inventory, and this value inventory has contributed significantly to our positive growth for the quarter. Multichannel has a very significant impact on GameStop’s total business, with over 60% of our customers going to GameStop on the web or mobile prior to making a purchase in our stores. Multichannel continues to be a driver of total company performance in Q2, posting plus 49% growth for the quarter. Leading that growth was our pickup of store business. Consumers can find the product they want online and guarantee availability when they pick up at a store, usually the same day. This also provides an excellent opportunity for the customer to bring additional trades into the store. Pickup in store grew plus 141% for the quarter. This reinforces consumers’ desire for the convenience of web shopping, combined with the GameStop in-store experience. We continue to invest heavily in mobile and we launched an updated mobile app this summer. We upgraded the entire customer experience and added new functionality such as the trade center, where members can go to learn about trades, look up values, and see current promotions. This addresses the number one customer request for mobile functionality. The GameStop mobile app has become a key driver of our multichannel business. We now have over 4.4 million installs and average daily users are up 60% over prior year. Our mobile app users spent 81% more, trade 53% more, and buy 79% more pre-owned than the average PowerUp pro member. These are clearly our most engaged customers. I will now turn it back over to Tony. 
Tony Bartel: Thanks, Mike. We look forward to seeing all of our passionate managers in a couple of weeks for a full dose of gaming immersion. As their enthusiasm will attest, the gaming business is healthy and growing. Technology Brands is providing relevant sales and profit growth, and we are excited about the growth path in front of us. We will now open the call up for questions. 
Operator: [Operator instructions.] We’ll go first to Tony Wible of Janney Capital Markets. 
Tony Wible - Janney Capital Markets: With regards to Simply Mac, what are you guys anticipating as far as an Apple lineup and product launches? What’s embedded into the guidance that you guys have provided? And then a little bit differently, can you guys give us a little bit of a sense of what you’re seeing for presale activity on the big Q4 titles, versus what you guys have seen in the past?
Tony Bartel: I’ll let Rob and Mike talk about the Simply Mac, although I will tell you, with our relationship with Apple, we don’t get a lot of visibility, internal visibility, as do, I think, most resellers for Apple. So clearly, they have a large event coming on September 9, where we’ll have a lot more visibility. I’ll let Rob indicate what we actually have in the forecast for Simply Mac. Let me address your second question, though, presales. What we are seeing on presales, clearly, after recent announcements, we’ve seen a significant increase in presales, but they are down from what we’ve seen in the past, we think for a couple of reasons. One, we think that people are still debating, as Mike shared with you earlier, what console they’re going to buy the game on. And so what we have seen is, just because our presales are down, it does not mean that our actual sales are down. And as Mike shared, we’re actually overperforming on all of the launches on Xbox One and PS4. So that’s a trend we’re continuing to see, so even though presales are down a bit, we still believe they are the best barometer in the industry of what a game’s actual demand will be. It’s just that we have to buy a lot more relative to our presales than what we’ve had to do in the past. So, Rob, do you want to talk about any products that we do have in the forecast? I don’t think we’ve given the specific details on that.
Robert Lloyd: Yeah, we haven’t given the specific details on that, and most of us have all heard the same things about what kind of products might be coming from Apple this fall. And we’re excited about that. I can’t specifically relay how much of the guidance might be driven by those products, but you know, we’re excited about them, and we’re going to get as much as we can to sell through, when they get here.
Tony Bartel:
 :
Operator: And we’ll go now to David MaGee with Suntrust. 
David MaGee - Suntrust: The question I have, a couple. One is the holiday season has often been sort of challenging for GameStop. I’m curious what you’re seeing this year, what you’re doing this year, that might improve the visibility around that time of year.
Tony Bartel: Well, the holiday season, for us, is great season. I mean, this time there’s 24 games that are going to be out there, the best lineup in history. So the key that we’re focused on this year is affordability. We think that with all the great consoles that are out there, and with 24 great games that are out there, we think that it’s incredibly important that we do a great job of making them as affordable as possible. So the simplified trade pricing that we’ve put in made it very simple for people to understand the true value that they can get, and we are going to run buy-sell-trade so that we can allow people to bring in their trades as additional currency towards the great games that they want. So we think a holiday like this is right in GameStop’s wheelhouse. That, coupled with the fact that any launches that do happen to come out with an Apple announcement are obviously going to be helpful to us as well, as we expand our Tech Brands. 
David MaGee - Suntrust : And can you give a little more color around the commentary that GameStop digital is keeping pace with the overall industry? Do you overindex in certain aspects of that and underindex in others? How are you able to keep pace in that regard?
Tony Bartel: Sure, David. I’ll start out, and then I’ll let Mike share his thoughts from the market model, and what we’ve seen. You know, it really comes down to discoverability and affordability, like we always talk about. And what’s so powerful at GameStop is our ability to really create the market. DLC, we definitely way overindex in DLC. I think you heard Ubisoft say that on one stock, 70% of DLC was sold at retail. Clearly, we sold the lion’s share of that at retail, because our associates are out in the lines at our midnight launches, informing people about that content. And that’s a real key strategic weapon that we have. You know, we’re also driving a lot on the Kongregate side, as Mike talked about. So those are areas where we are overindexing from a growth perspective. Mike Mauler talked about Steam being such a strong growth engine globally. Mike, do you want to share some more thoughts?
Mike Mauler: Sure. So, Tony mentioned from a market model perspective we’re seeing double-digit growth in the category. We continue to expect that for the foreseeable future. The two segments in there that are real drivers are going to be console, digital, and mobile. And obviously we’re excited and we’re participating heavily in both of those areas. We talked in a fair amount of detail about what we’ve launched at Kongregate and the success of that. I think on the console side, just to echo some of Tony’s comments, we’re constantly in touch, through PowerUp members, and seeing them participate in it and talking about the reasons why they think that retail has a strong role to play in this category. And it’s everything from discoverability to affordability, the ability to use trade credits, ability to take physical trades and apply them to digital products and of course get PowerUp points, as well as just the recommendations of GameStop associates. So we continue to see, from the consumer perspective, that our stores and our associates and our PowerUp rewards plays an important role in the digital category. 
Operator: We’ll go next to Curtis Nagle with Bank of America.
Curtis Nagle - Bank of America : Just a quick question on your software results, which were quite good, and certainly better than the market. I guess just kind of what’s driving it? Is it more very strong next-gen sales, or is it less impact from the prior gen rampdown?
Tony Bartel : I definitely think that we’re way overperforming on Xbox One and PS4, like we talked about. And we’re selling over 50% of games. That’s not just at launch. That’s our market share continuously. Rob, do you have some other thoughts on where the software growth is coming from?
Robert Lloyd : I’ll just echo that. The next-gen have been very strong for us. Obviously, that fits into our wheelhouse in launching games. The old gen is falling off. There’s absolutely no doubt about that. But I think we’re doing okay in terms of holding share there. And definitely driving on the next-gen, such that our overall software share is climbing.
Mike Hogan: I would also add that, you know, you mentioned before affordability, Tony. The buy-sell-trade model, and the ability to trade in games, especially in places where there’s economic challenges, has really helped us a lot. Also, our increasing loyalty program. We’re adding millions of members every year, and we’re getting better at utilizing that data and talking to those customers and getting them engaged. So that’s certainly helping as well. And finally, I think multichannel. As we give the customers more ways to purchase the product, and easier ways to purchase the product, that helps with market share as well. 
Tony Bartel : Curtis, the other thing that’s happened is our hardware share has grown significantly. Like Mike said, we’re up 140% versus the market at 70%. Then you factor in the fact that our attach rate, we do such a good job, our associates are so skilled at explaining what people need to make sure that they have a great experience when they get home, that our attach rate is up 75% over the balance of the market. So that’s another factor that’s driving it. 
Curtis Nagle - Bank of America : Would you guys be able to discuss what your outlook for the Wii U is, given some pretty solid results this quarter. And I guess finally, some good first party content coming out in the next year and a half or so.
Tony Bartel : You know, we’ve been very consistent, every time we’re asked about the Wii U here, that really what they needed was two things. They needed strong first party titles, which we think that they are getting, and they also needed to do a better job of explaining exactly what the connected [unintelligible], as we like to call it, how you actually use that. I think that they’re going to do a great job on both of those. Clearly, they’ve come out with some nice announcements at gamescom. Preorders really spiked when they came out on that. So we’re very excited about that. Mike, do you have any other color?
Mike Hogan : No, I would agree. I mean, Mario Kart 8, as I’d mentioned, caused us to have our Wii U sales increase threefold internationally in the second quarter. We’ve got Smash Brothers coming up and some other titles. So I agree that the titles drives that platform and we’re starting to see it coming up.
Tony Bartel : I would also not sell amiibo short either. 
Mike Hogan: True.
Operator: We’ll go next to Brian Nagel with Oppenheimer.
Brian Nagel - Oppenheimer : You’ll pretty easily beat guidance here with a nice quarter. Why not lift guidance for the year? What’s the discussion, as you guys look towards the guidance you’ve had out there for 2014, why not lift some on the heels of this better Q2?
Robert Lloyd: Brian, I understand the question, but as we looked at it, in the second quarter, very nice results in the second quarter, but historically, our second quarter is very small relative to our entire year. And as we look at how our year lays out, there’s still 80% or so of the year remaining in terms of our profit generation. And as Tony mentioned, we had some pretty significant titles that moved out of the year. So that’s the approach we took on the annual guidance affirmation.
Brian Nagel - Oppenheimer : Then as we look toward the holiday, and keeping it in context of the last couple of holidays, because you’re discussing with your partners now holiday sales, is there going to be any bigger effort to sort of protect pricing? Because I’ll look around retail, and I think we’re going to be once again in a holiday where there’s not too many categories that are working, but gaming is going to be a hot category, and I think there’s always the potential for others to use it as a promotional effort, to get people in their stores. In your discussions with vendors, are they going to be more protective of pricing this year?
Tony Bartel : We very rarely have a conversation with a vendor where we put downward pressure on prices, because we’re going to be the last people that ever put downward pressure on prices. So Mike, you might want to talk about some of the things we’re doing to really drive affordability of the games, some of our trade-in deals that we’re going to have.
Mike Hogan: Sure, to Tony’s point, obviously we’re not looking for category-wide discounting. I think one of the things we’ve found consistently is that with the value we offer through bundling and buy-sell-trade, we are consistently the best value in the market in the eyes of our consumers. I think an example would be even just the simplified trade pricing we’re doing. We’re doing a number of things to expand the communication on our program, explain it to more consumers, so they can understand how they can get the best value. Because what we find is that the people who understand that and utilize it consistently rate GameStop as the best value to buy the hardware and software. 
Tony Bartel: Brian, I think it’s a powerful statement when the person that’s selling more than half of the product that we’re going to be selling is saying we don’t need price reductions. I think that speaks volumes to the publisher community. 
Operator: We’ll go next to Arvind Bhatia of Sterne Agee.
Arvind Bhatia - Sterne Agee : Two quick questions. One, the 6% to 12% comp number for the full year, just wanted to see if you could give us some color on what that means for new software in Q4, in light of two things. One is your outperformance so far, and the tough comp in Q3, what does it imply for Q4 new software growth. And then as you get more involved in direct downloads overall, are your margins fairly consistent to what you get on the packaged software side?
Tony Bartel : Rob, I’ll take the second one, and let you take the first one. As we’ve always said, direct downloads are very comparable to software like margins, and so we’re consistent in that position. So yes, you do recognize, or you did recognize that we are a market maker in digital side, not just the physical side as well.
Robert Lloyd: We typically don’t give a lot of guidance on the categories, and what our expectations are for those within quarters. So I’ll have to hold you off on that one.
Arvind Bhatia - Sterne Agee : On tie ratios, can you talk about that real quick? I know you said four, but I thought you had said it was higher than that in the past. Maybe if you can provide a breakdown between packaged versus digital and how on a combined basis, your tie ratios look like right now?
Tony Bartel : Very similar to what we said in the prior two quarters. What we’re seeing is a slight reduction versus a prior launch in physical goods, but it’s more than made up in a digital attach that we’re seeing. So it’s slightly lower on the physical side, but then when you add the digital attach that we’re seeing, you actually see it as an increased attach rate. 
Arvind Bhatia - Sterne Agee : The online subscription service announced by one of the publishers, wondered what your views are on that, and if you see that as a model that might become more prevalent.
Tony Bartel : I think what you’re going to see is publishers and platform holders are constantly going to be looking for new ways to reach the gamers. I think what we’re showing is, especially with our DLC performance, what we’re showing is that we’re market makers, not only on the physical side, but also on the digital side. So we always say that we’re for the gamer. So if the gamer wants an online subscription service, then we’ll sell them an online subscription service. If the customer wants to buy a physical game, we’ll obviously do that. If they want to buy a digital download, we’ll sell them that. So when it comes to the customer, we’re agnostic in terms of what they’re going to buy, and we just want to give them the best service. So as these roll out, we haven’t heard of others that are getting into this business, but you know, if this rolls out, we’ll make it available and we’ll be a part of the value chain as well.
Operator: We’ll go next to Edward Williams with BMO Capital Markets.
Edward Williams - BMO Capital : I have a couple of questions, kind of simple modeling questions, first of all. Rob can you talk a little bit about the tax rate in the quarter, what we should look for on a go forward basis? Second question is shares outstanding as of today. What’s the base number right now? And then a third one is the number of tech stores that we can look for by the end of the year. And then I have another quick question for Tony.
Robert Lloyd: In terms of the tax rate, we benefited in the quarter from a couple of things. One is a shift in mix among various jurisdictions in which we operate, that benefited us in terms of our estimate of the overall annual rate. I would say overall, we expect that annual rate to be at the lower end of the 36.5% to 37.5% rate guidance we gave back in March. So look at the lower end of that. And then in terms of the share count, I’ll have to get back to you with exactly what it is, but again, we’re anticipating 114 million in terms of the weighted average shares for the third quarter. On the tech stores, we started the year with 218. We guided to 300 to 400, and as I said in my remarks, we’re well on our way to hitting that 300 to 400. So I would say that’s anywhere between 500 and 600 with the lower rounding in there, for the teens. 
Edward Williams - BMO Capital : And then Tony, the question I have for you is are you seeing any differences in the duration of how games are selling post-release? Are you experiencing kind of a shorter window of games selling very well? Or as you kind of look post-release, are the games performing as they did in prior cycles?
Tony Bartel : I would say that we’re seeing, like I shared earlier, that they’re selling much higher relative to their reservation rate, and for the reasons I articulated there. But then what we see is we see a longer tail, especially with the advent of DLC. DLCs coming out quarterly, even though we sell a lot of it the day of launch, and we think that’s a best practice, every time DLC comes out, there’s a huge bump that we haven’t seen in the past when DLC wasn’t around. So that’s probably the biggest thing that has shifted in terms of gaming. Now, we’ve never had 24 titles like we’re about ready to have, so I’m not sure that I can comment on what’s going to happen this holiday. It’s all about affordability, and we think we’re going to be the best at that.
Operator: We’ll go next to Sean McGowan with Needham & Company.
Sean McGowan - Needham & Company : First, you talked about attach rate. I’m assuming you’re talking about software only? Can you talk about attach rates for accessories and how that’s comparing for the last cycle? And then a bigger question, you know, you guys made kind of a big deal a couple of years ago about the relative advantage of buying a game in a store, because of how long it would take to download. But there are ways of doing that now that you kind of get 99% of the game and then the last mile comes at that 11th hour. So you know, could you address that and how you’re seeing yourselves positioned with that on the horizon?
Tony Bartel : We’ll look for the accessory number. We don’t have that right at our fingertips. We’ll look for that. Let me address the download number. I think a couple of things. First of all, you’re right that speeds are getting quicker. Game sizes are also getting larger. It’s not atypical to see a game at 50 gigs. But the main point that I would say is that it really comes down to portability and value, like Mike was talking about earlier. You know, again, we’re agnostic. If people want to buy digital games, we’ll let them buy digital games. We’ll make a market for digital games. But I also think you have to understand that there is a financial issue here with the consumer, in that a digital game does not have, today, a residual value, like a physical game, which has a perceived $20 residual value. And from a portability issue, you can’t take that game and move it from one console to another without re-downloading it. So even though download speeds are getting quicker, game sizes are also getting bigger. So I would say that while that’s not a barrier that cannot be overcome, I do think that there are other issues that you have to think about. Again, that being said, and we’ve said it before, when it comes to digital, we’re on offense. We’re creating markets for digital. And Rob, were you able to get your hands on accessory attach?
Robert Lloyd :
 : Yeah, I was able to. And accessory attach rate looks like it’s running about a unit or so behind where it was in the last cycle. And we’re at about 1.3 units, I think, a little higher than the overall market.
Sean McGowan - Needham & Company : And do you expect that to pick up closer to the holiday season?
Robert Lloyd : I think some of the accessories that you see, particularly what we carry in our stores, headsets, for example, our great accessories and great holiday buys. And so as the gift-giving time rolls around, we’ll see an uptick in that.